Operator: Good day, ladies and gentlemen, and welcome to our Third Quarter 2016 Mettler-Toledo International Earnings Conference Call. My name is Jennifer, and I will be your audio coordinator for today. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary T. Finnegan - Mettler-Toledo International, Inc.: Thanks, Jennifer, and good evening, everyone. I am Mary Finnegan. I'm the Treasurer and responsible for Investor Relations at Mettler-Toledo. I'm happy that you're joining us tonight. I am joined by Olivier Filliol, our CEO, and Bill Donnelly, our Executive Vice President. I need to cover just a couple of administrative matters. The call is being webcast and is available for replay on our website. A copy of the press release and the presentation that we will refer to on today's call is also available on the website. Let me summarize the Safe Harbor language, which we have on page two of the presentation. Statements in this presentation which are not historical facts constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under caption, Factors Affecting our Future Operating Results and in the Management's Discussion & Analysis of Financial Condition and Results of Operations in our Form 10-K. Just one other thing, on today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and the differences between non-GAAP financial measures and the most directly comparable GAAP measure is provided in our Form 8-K. I will now turn the call over to Olivier.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Thank you, Mary, and welcome to everyone on the call. I will start with a summary of the quarter and then Bill will provide details on our financial results and guidance. I will then have some additional comments before we open the lines for Q&A. The highlights for the quarter are on page three of the presentation. Let me start by saying it was a very good quarter and it reflected strong strategy execution by our teams around the globe. Local currency sales growth was 9% in the quarter with broad-based growth in all regions and most product lines. Demand in the Americas and Europe was very good. Asia, rest of the world did particularly well with good growth in China and strong growth in most other countries in this region. We are very happy with these results, which reflects solid market conditions and as already mentioned, continued strong execution of our strategies. With the benefit of our margin and cost initiatives, we had good growth in margins which contributed to excellent growth in earnings per share. Cash flow was also quite good in the quarter. We are very happy with our performance as well our outlook for the remainder of the year and 2017. Before I turn it to Bill to cover the numbers, let me comment on the management changes that we announced today. Many of you have met Shawn Vadala most recently at our Investor Meeting in California in July. He has worked with Bill for almost 20 years and was promoted to CFO three years ago. Shawn is highly respected within our organization for his knowledge of our business and its processes as well as his business acumen. Shawn has been a key contributor to many of our margin enhancement programs. For example, pricing has been an important profit driver for us and Shawn has led our efforts in pricing since the beginning. Shawn has also played an important role in helping effectively shape the resource allocation within the organization toward our strategic priorities of the fast growing, more profitable businesses. Shawn has worked closely with me to initiate our big data analytics programs. For the next 12 months we expect Shawn to continue to focus on his existing responsibilities and you will gradually see him more on the Investor Relations front beginning in about a year from now. Some of you have also met Oliver Wittorf at our investor meeting. Oliver has been with us for 13 years and has one of the most diverse and key careers within our management team. Oliver has held a number of important roles including being Head of Operations for our Boston-based process analytics business. He was a project lead in China for our Blue Ocean program and for the last few years, he has held our Global Supply Chain Team Lead, which included our very successful procurement program and the establishment of our regional hubs. He will keep his supply chain responsibilities and take over daily responsibility for IT and Blue Ocean. He is ideally suited for this expanded role within the organization. I am confident that both Shawn and Oliver have the experience and track record to be strong contributors to our executive team and to further the development of the finance, supply chain, IT and Blue Ocean functions within our organization. I have worked with both of them over many years and look forward to many more years with them in their expanded roles. From an investor perspective, very little will change over the next 12 months and Bill and Mary will remain your principal contacts. Bill will gradually reduce his time commitments and beginning in 2018, Bill will begin to hand over the investor relations activities to Shawn and ensure a smooth transition. Mary will continue in her role in investor relations and treasury and continue to be your day-to-day contact. Finally, I want to express how pleased I am that we have orchestrated a smooth and well-planned succession for Bill and that we can continue to leverage Bill's unique contribution to the company for another two years. Bill demonstrated his great leadership in nurturing his successors and often working with me to make this a gradual transition, which I'm very grateful for. Let me hand it over now to Bill.
William P. Donnelly - Mettler-Toledo International, Inc.: Thanks, Olivier, and hello everybody. Let me reiterate or reinforce Olivier's last point. I'm pleased about the transition that we've put in place, and proud that we have developed these two strongly highly capable leaders in Shawn and Oliver. Further I'm happy to continue to serve this great company and help drive its development for the coming two years, and of course, I also look forward to working with all of you. Now, let me come back to the quarter and cover the financials. Sales were $650.6 million in the quarter. That's an increase of 9% in local currency. The Troemner acquisition contributed about 1% to that growth. On a dollar basis our sales grew by 8% as currencies reduced sales by about 1% in the quarter. On slide number four, you have local currency sales growth for the third quarter. Our sales grew 7% in the Americas, 8% in Europe, and 11% in Asia/rest of world. America's growth excluding Troemner was about 6%. In the next slide we provide year-to-date local currency sales growth which was 6%. By region, Americas had a growth of 7%. Europe is 4% and Asia/rest of world has increased 8% on a year-to-date basis. Now on to slide number six. We outline sales growth by product area for the quarter. Lab had good growth with local currency sales growth of 9%, of which approximately 2% was from Troemner. Industrial increased by 8% and food retailing increased by 13%. All these comparisons are versus the prior year. The next slide summarizes year-to-date sales by product line. Lab had a local currency sales growth of 8%, industrial, 5% and food retailing 6%. Now to slide number eight. Let me walk you through the key items in our P&L for the quarter. Our gross margins were 56.8%, that's a 60 basis point improvement over the prior year amount of 56.2%. Pricing and material costs decreased as pricing increases and material cost decreases contributed to the improved margin, which was offset in part by some targeted investments in our service business as well as an unfavorable mix. R&D amounted to $30.1 million, that's a 6% increase in local currency. SG&A amounted to $187.7 million, that's an increase of 8% in local currency over the prior year. Higher variable comp largely explained by assumed higher performance against our budget targets, as well as investments in our Field Turbo program, were offset by cost savings in other parts of the business. Adjusted operating income was $151.7 million in the quarter. That's a 13% increase over the prior year amount of $134.3 million. Currencies benefited operating profit by $1.5 million and, yes, that was not a typo. We had a currency benefit this quarter. The first one in some time. Adjusted operating margins were 23.3%, that's 110 basis point increase over the prior year. A couple of comments to the P&L. Our amortization was $9.1 million while our interest expense was $7.2 million. Our effective tax rate continued to be 24%. Our fully diluted shares for the quarter were 26.9 million, that's a 4.4% decline from the prior year reflecting the impact of our share repurchase program. Adjusted earnings per share was $3.89 per share, a 19% increase over the prior year amount of $3.26 per share. On a reported basis, earnings per share was $3.77 as compared to $3.16 in the prior year. Reported EPS includes $0.04 of restructuring, $0.05 of purchased intangible amortization, and $0.03 of acquisition transaction costs related to Troemner. The next slide shows the year-to-date P&L. We had local currency sales growth of 6%, operating income increased by 9% and adjusted earnings per share increased by 15%. Now taking a look at cash flow. In the quarter, free cash flow amounted to $125.6 million as compared to $107.1 million in the prior year. We remain pleased with working capital management and achieved further improvements in DSO. ITO was 4.6, which was flat with last quarter. Cash flow on a year-to-date basis amounted to $263.7 million. That's an increase of 16% on a per share basis. For the year, we expect free cash flow in the $380 million range. Now let's turn to guidance. We are raising our full-year 2016 local currency sales guidance to approximately 6% versus 5% previously. This reflects organic growth of approximately 5.5% and about 50 basis point of sales growth from the Troemner acquisition. We have also raised our earnings per share guidance and now expect adjusted EPS to be in the range of $14.61 per share to $14.66 per share. That's a growth of approximately 13%. This compares to our previous guidance of 11% to 12% growth or $4.40 per share to $4.50 per share. With respect to the fourth quarter, we expect local currency sales growth to be approximately 5%. This includes approximately 1% growth from Troemner. We assume adjusted EPS will be in the range of $5.08 to $5.13. This reflects a growth rate of 9% to 10%. Now let's turn to 2017. We are coming off a very strong third quarter and we have expectations for a solid Q4 as well. We believe we are executing well. We have a strong product pipeline. Our Spinnaker sales and marketing programs as well as our Field Turbo investments are yielding tangible results. These factors are within our control and we feel confident about them. Offsetting these positives are some lingering questions regarding the global economy. In particular, we see continued risk in China, some uncertainty in Europe, and we will face tougher comps for example in our lab business as well as the Americas. Taking into account these factors, we expect local currency sales growth to be about 5% in 2017. This will include 50 basis points from the Troemner acquisition. This should result in adjusted EPS in the range of $16.05 to $16.25 per share and that's a growth rate of 10% to 11%. We expect currency to reduce adjusted EPS growth by about 1% in 2017. In terms of quarterly guidance for 2017, as usual, we'll provide that on our upcoming calls. However I know you'll be updating your model and I just want to point out that we will have a tough comp in Q3 next year, given the very strong results that we are reporting today. In terms of currency impact on sales growth, we expect currency to reduce sales by about 1.5% in the fourth quarter. This will result in a 2% impact on sales growth for the full year 2016, and in 2017 currency should reduce sales by about 1.5%. Finally, in terms of cash flow next year, we expect free cash flow to be in the $390 million range. This reflects a 6% growth on a per share basis, which is below our normal target and that has to do with higher capital expenditures. As we explained last year, our CapEx levels in 2016 and 2017 are higher due to facility expansions related to our product inspection businesses as well as a facility consolidation we are doing in Switzerland. These expansions will amount to approximately $55 million in 2017. We've built into our assumptions $500 million of share repurchases next year, which is the same amount as we did this year. Okay. That's it from my side, and I now want to turn it back to Olivier.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Thanks, Bill. Let me start with summary comments on business conditions. Lab had a very good growth in the quarter. All product lines performed well. Our strong product pipeline, benefit of Field Turbo investments and continued strong sales and marketing programs are all contributing to favorable results. Spending by our biopharma customers continues to be favorable. While government and academia was not strong in the West, it's not a big segment for us. Industrial was stronger-than-expected in the quarter, including core industrial which increased mid-single digits. Core industrial was particularly strong in Asia/rest of the world, but was up in China as well. In the Americas and Europe, we benefited from some projects in transportation and logistics, but the core industrial markets remain difficult. Product inspection was up strongly in the quarter, with particularly good growth in Americas and Europe. We continue to penetrate large multi-national food companies as the supply of choice as they seek to standardize the product inspection equipment. We have made some good inroads over the last 12 months to 24 months and we expect good results in the fourth quarter as well. Finally, retail increased 13% in the quarter, much better than we had expected as some projects moved forward for Q4. We had good growth in all regions. We would expect retail to be down in the fourth quarter. Now let me make some additional comments by geography. Sales growth in the Americas continues to be very solid. Biopharma and food were our strongest segments. Lab had growth against strong comparisons in the prior year. Product inspection and retail did very well in the quarter with a number of large projects. Core industrial also had growth and benefited from some project activity in transportation and logistics, but as expected, many industrial segments remained weak. Europe's growth exceeded expectations. Similar to the U.S., Biopharma and food were good segments. Lab and product inspection benefited from these trends. Core industrial benefited from some transportation and logistics activity, but similar to the U.S., many industrial segments were weak. Finally, retail also had very good growth, and as already mentioned, was partially due to some projects moving from Q4 to Q3. Asia/rest of the world grew double-digits in the quarter. Lab growth in China was again in double-digits with almost all product lines showing very good growth. We continue to be very pleased with this performance, which reflects the good demand, particularly in life sciences as well as the benefit of our actions to redirect resources to fast growing market segments. Industrial in China had modest growth as we continue to be impacted by the overcapacity in the industrial manufacturing sector. We are seeing good growth in certain industrial markets such as chemical pharma and OEMs, but this is being overshadowed by weakness in markets such cement and metals. One final comment on the business. Service grew 6% in the quarter. Those are all my comments on current business trends. Now let me provide a broader update on our strategy and how it continues to evolve and positions us well for the next year and beyond. Let me start with our sales and marketing strategies. At our Investor Day in July we discussed one of our new initiatives in this area and that is our effort to generate leads and better focus our sales efforts by leveraging big data. Our data sources include our contact database, our installed base of instruments, hits on mt.com, and increasingly rich data streams from Blue Ocean as well as some third-party data. We are becoming more sophisticated in how we use this data to target incremental growth. We are in the early stages of developing the potential of big data, but we already see opportunities to refine our current strategies and identify new sources of growth and sales productivity. As shared at the Investor Day, we are using big data to help us identify better where customers are investing, account locations that need more focus on cross-selling, and the likely effect this means to succeed. We also recently launched Spinnaker 5, which is focused on increased sales productivity. The tools from Spinnaker 5 are being used to help units refine their channel strategy, more effectively balance the resources between field and inside sales, and achieve better results in account penetration and cross-selling. Finally, we have started our next wave of Field Turbo and expected to add 200 additional field resources in 2017. We believe the first waves of this Field Turbo program have been effective in helping us gain share. We talk to you a lot about sales and marketing, but our share gains would not be possible without an excellent product pipeline. It continues to be very strong, particularly on the lab and product inspection side. Let me give you one example from our Rainin pipette business. As a reminder, we have proprietary pipette with superior ergonomic design and which each have an embedded RFID chip for tracking. The team is now launching SmartStand, an easy-to-use pipette asset management system. This instrument can store up to four pipettes and read the embedded RFID chip to immediately determine if the pipette is within required calibration specification. For regulated labs in the pharma biotech industries, this is a major support tool that eliminates the manual and time-consuming process of tracking calibration dates to verify the pipette is proper to use. Our pipettes have long been known for the ability to provide reproducible data. SmartStand further helps our customers to ensure this data was generated on a verified pipette. We believe it will help drive our service business as well as lab conversions, as more researchers seek to benefit from our RFID-enabled pipettes. This is one new product launch that's representative of how we continue to drive value of our customers. As you can see, we have much underway in terms of targeting top-line growth. We also continue to make very good progress on our margin initiatives. Our pricing, productivity and supply chain initiatives continue to evolve and yield tangible results. There is a lot of work behind all of this, particularly in an organization as ours that has so many complexities. With continued diligence, we can move these initiatives to the next level. That concludes our prepared remarks. In summary, we believe we are executing well and market conditions are good enough for our customers to keep their replacement cycles. With the benefit of our growth initiatives, we believe we are continuing to gain share and continue to improve our margins. Assuming demand in our markets remain stable, we expect to continue to generate good sales and earnings growth. I want to now ask the operator to open the line for questions.
Operator: Our first question comes from the line of Tim Evans with Wells Fargo Securities.
Tim C. Evans - Wells Fargo Securities LLC: Thank you so much. On the strength in industrial, it sounded like the growth there was driven primarily – or the surprise I should say – was driven primarily by a couple transportation and logistics items. If you stripped those out, would the underlying growth have kind of been that low single-digit territory where it's been running? And secondarily, I was wondering if those two projects were pulled forward from Q4. Thanks.
William P. Donnelly - Mettler-Toledo International, Inc.: So maybe, so first, for our industrial business in total, the key good performer was actually product inspection. Product inspection grew by low double-digits in the quarter. We did do mid single-digit kind of growth in our, what we would refer to as our core industrial business. That business would have been maybe – trying to do the math here in my head – maybe 1.5 less without the T&L projects. The T&L projects maybe weren't as close on our radar screen, and frankly they are a little bit smaller. The retail projects did move from Q4 into Q3, and that's the one that was we more had in mind with that reference to coming a little earlier than we expected. The T&L project I think largely came in maybe in total a little better than we expected, but wasn't so much different than we expected from a timing point of view.
Tim C. Evans - Wells Fargo Securities LLC: Got it. Thank you.
Operator: Your next question comes from the line of Richard Eastman with Robert W. Baird.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Hi. Just a couple quick things. Good afternoon, by the way. Could you just dig into pricing here a little bit? Not just on this quarter, but also Bill, what kind of price? Did we trendline price out into 2017 when we talk about guidance?
William P. Donnelly - Mettler-Toledo International, Inc.: Yeah. We did. We run a couple different scenarios. So I think the good news on pricing is that the tools we have, the strategies we have, the products we get to apply pricing to continue to get better. But it is a lower inflation environment globally. That represents some different challenges, so I think kind of at a baseline level, I could imagine we maybe only do 150 bps next year. But I also see some upside in terms of Shawn and the team are putting together some new things in the area, for example of services, where I think we have some opportunity and also reaching out to some other countries. So I hope that there is a little bit of upside to that number too.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Okay. And then I also just had a question, Olivier, when we talk about the 5% growth for 2017, would you just kind of handicap the risk to that number, either geographically or by product segments? I'm curious, where might you see the biggest risk, and conversely, maybe the one area or two areas where you see the best possibility of upside?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Okay. In terms of risk, if I look to Asia, it's particularly China, and how will industry do in China? And that's rather difficult to predict and as we described before, for industry China, their segments that do well, chemical, food and so on and the others still difficult. But forecasting and anticipating how the Chinese economy do overall is difficult and the industrial business is particularly exposed to the cycles in China. And of course we have also comparison topics. We have, for example, a very strong performance in biopharma, I would here highlight, including also in Europe. And we going to feel that next year. How will this evolve is, in that sense a certain risk in it. Now, on the upside, I would say China industry could actually clearly come stronger in than we expect. As I mentioned before, there is a high volatility on that one, so that's one. If biopharma continues to be that strong, we would benefit across many businesses. That would be really nice. And then there is a certain pent-up demand that we had always seen when a overall economy strengthen, pent-up demand in CapEx where core industrial would benefit in particular. So that's another upside that I could see.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): One thing strengthened. Okay. And just maybe one last question, promise; just kind of open ended question here a little bit. I think – Olivier, I think you and Bill, if I'm not mistaken kind of do your annual budget – global tour of your regions in September/October period. And I'm just curious if there's any next level observations either politically or from a business perspective that – if I'm right on the timing of your tour – that you brought back with you from, in particular China?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Particular China. Actually...
William P. Donnelly - Mettler-Toledo International, Inc.: China, I think the one thing the guys told us about was that at the beginning of next year the Chinese Politburo will do their changes. The two top guys will stay in place. If we look back at that historically, this has typically been a time where you maybe see a little bit is – like, people kind of wait-and-see. But the guys are a little bit more optimistic this year, because with the two top guys staying in place and a lot of people frankly worried about the Chinese economy that there will be more emphasis to kind of keep growing. And so, I don't think – the five-year plan's in place and I think it's just – they are optimistic that we won't see a slowdown there.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Actually, in that context the change takes place early in the year and everybody feels by Chinese New Year the uncertainty should be gone. This is different to past changes. And past changes where really the whole team, and this time it's a few people that will retire, age wise, and so there is continuity in the political leadership. One other highlight that we saw during this business review in China was our strengthening position in lab and in particular, Pipettes and pH. I was very pleased to hear that we are winning market positioning and becoming leaders in Pipettes and pH in China which is – typically takes a couple of years and is very attractive, because of course these are businesses with great profitability, great consumable streams. So this is our examples. We had certainly many more from other countries too. One that for example just to share with, in India we are so pleased to see how the growth goes there. We talked a lot about this Made in India that how this is helping. I mentioned that I love it, because for us we always depend also that the industrial manufacturing is important, drives quality, drives to export industry and that's for example something that I could feel very strongly when I met the Indian team. We see it in our good numbers. They one thing, next year they are moving to a VAT tax structure and that could in the short-term impact a little bit our numbers. But, so every country has something specific. And it was good to sense it. All in all, we came back from the tour in a very positive way. Extremely pleased by the plans, but also – and I think you referred to that a little bit, the macroeconomic and the government environment, we feel good about that.
Richard Eastman - Robert W. Baird & Co., Inc. (Broker): Okay, great. Thanks for the color.
Operator: Your next question comes from the line of Ross Muken with Evercore ISI.
Ross Muken - Evercore Group LLC: I'm curious, on the biopharma side, whether by any of this sort of distinct customer sub-segments you saw notable changes in demand or whether there was any bias between higher-priced instrumentation, lower price instrumentation, because we've definitely seen some choppiness from, maybe not peers, but others who address the customer base. So we're just trying to discern if it was a price point question or really it's maybe more specific to certain sub-segments.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Was actually really broad based, and important to say, it's certainly not particular the big pharma. Actually we even saw a few ones in big pharma that slow down some of their purchasings due to internal things like new procurement initiatives and so on. Now, it was in essence broad based. We see good activities with CMOs. We see good activities with CTOs. And we have many businesses that serve this market. So from production to research, we benefited. And I didn't see any particular patterns between the more sophisticated or the more value instruments. It was broad based.
Ross Muken - Evercore Group LLC: Thanks, Olivier. And maybe, Bill, just quickly on the tax line for next year, I would have thought you guys – maybe you mentioned it and I missed it but – have gotten a little bit of a benefit from the stock comp tax shield. I'm just curious what the assumption is there.
William P. Donnelly - Mettler-Toledo International, Inc.: So, we assumed a 24% rate now. We are working through the models. As you guys know, we've been hitting this 24% tax rate for a while, but running a cash tax rate lower than that, in part explained by stock options. So we're – got to go through and see with the accountants where we come out, but I would assume that that could benefit us a couple percentage points when things get final. I think what – I'm not sure how much you've studied it yourself, Ross, but one of the things that I think is awkward about it is, it's got to mean people could have quite different tax rates by quarter. So, one of the things we would be dealing with is, we could maybe estimate what the full year impact was, but the nature of it would make our tax rate jump around quite a bit in the quarters, and I think it will take an increased level of investor communication to predict that. And in part, that's why I think we'll wait until maybe February to elaborate on what it will precisely mean for us. But you're right, it's positive.
Ross Muken - Evercore Group LLC: Thanks.
Operator: Your next question comes from the line of Steve Beuchaw with Morgan Stanley.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Hi. Good afternoon. Just a couple of clarifications for me. (35:54)
William P. Donnelly - Mettler-Toledo International, Inc.: Hey, Steve. If you are still talking, I think we lost you. It's gotten very quiet.
Operator: And Steve, your line is open.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Hello?
William P. Donnelly - Mettler-Toledo International, Inc.: Steve?
Operator: And I believe we've lost Steve. And our next question is from the line of Isaac Ro from Goldman Sachs.
Isaac Ro - Goldman Sachs & Co.: Hey, Good afternoon, guys. Thank you. I want to spend a minute on Europe. You had a big quarter there and I know you called out the pull forward effect in the retail business. Hoping you could maybe quantify how much that contributed to the local currency growth and wondering if maybe there was a – secondary effects where maybe your market share gains that you referenced were concentrated in the region and that also helped. Just trying to reconcile the fact that you grew so well there versus what we're seeing everywhere else.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Bill will talk about the quarter effect. Let me just say, overall, it was a great quarter for Europe. Lab and product inspection was particularly strong, really. And also for Q4, in general, good, but we will have declined in retail. But for example, product inspection, that did very well in Q3, will continue to do also Q4 well. So maybe, Bill, just on this effect between the two quarters?
William P. Donnelly - Mettler-Toledo International, Inc.: So our retail business in Europe was – sorry, lost my spot – was up about 14% and I think it will be down probably double-digits in the fourth quarter. So it's just kind of a timing topic. As you know, our retail business at the gross and operating margin line's a little less than the other businesses. So, not such a material impact in terms of operating margin and profitability flow through, but yes, timing wise that was the impact.
Isaac Ro - Goldman Sachs & Co.: Got it. And then just a clarification question on China. Appreciate your comments on the political backdrop. I just want to clarify that that's the reason why you guys kind of called out the potential for a little bit of risk next year in that region as opposed to any fundamental changes in key end markets. Just want to make sure I understood the sources of risk that you guys are keeping an eye on?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Hey, I would say on China, we have seen that predicting China is little bit more difficult and I think particularly for the industrial business. And it's difficult to say when certain industry will pick up again and start to really invest in capacity expansion and all these things. And it could also turn in the other direction. So we are cautious about particular the industrial business. On the lab business I feel much more comfortable that we will have a steady growth.
Isaac Ro - Goldman Sachs & Co.: Understood. Thanks so much, guys.
Operator: Our next question comes from the line of Derik de Bruin of Bank of America Merrill Lynch.
Derik de Bruin - Bank of America Merrill Lynch: Hi. Good afternoon.
William P. Donnelly - Mettler-Toledo International, Inc.: Hey, Derik.
Derik de Bruin - Bank of America Merrill Lynch: Just a few questions. So, Bill, can you quantify or just give us some guidance on what you are looking for in terms of gross margin expansion year-over-year 2016 to 2017? What's embedded in your guidance?
William P. Donnelly - Mettler-Toledo International, Inc.: 40 basis points, 45 basis points, something in that range up to 50 basis points depending kind of on how currency plays out, and also of course the comments on our pricing initiatives as well, whether we do a little bit better than the 150 bps.
Derik de Bruin - Bank of America Merrill Lynch: Great. At your Analyst Day you mentioned, and you just mentioned on the call here your initiative to sort of target and discover where you installed base is and sort of targeting upgrades and replacements in that. I guess, how far into that initiative are you and I guess when we really start seeing some incremental benefits of that? And the question is like, how much of your installed base do you think is amenable to that sort of activity?
Olivier A. Filliol - Mettler-Toledo International, Inc.: So, we have two big data initiatives that we talked about at the Investor Day. One was these old product replacement initiatives where we have today a very good transparency on all our products installed around the world. And we data mine this to, and associate specific marketing programs to bring these products either under the service contract or upgrade/replace the product. This is ongoing and in that sense we have already benefit. But it's a long journey. This installed base is so huge, and of course our customers don't instantly replace it just because we send the marketing materials or we send over a salesperson with a dedicated value proposition. So I see that as one of many initiatives that we have in Spinnaker that help us drive further growth. We see already the benefit. It will continue to benefit us for many more years. And the same is true actually for the second initiative where we generate sales force targets based on big data analytics and this is something we started to pilot early in the year and we have been scaling it up in Q2. We start to see the benefits, but we have many more years to go until we see saturation in the upside of that.
Derik de Bruin - Bank of America Merrill Lynch: Great. And then just wanted a clarification. For 2017, what's embedded in terms of the interest income expense line?
William P. Donnelly - Mettler-Toledo International, Inc.: So on interest expense we've got $32.6 million built in.
Derik de Bruin - Bank of America Merrill Lynch: Great. Thank you. Very helpful.
Operator: And your next question comes from the line of Tycho Peterson with JPMorgan.
Tycho W. Peterson - JPMorgan Securities LLC: Hey, thanks. Can you maybe talk on expectations by segment for 2017, what's embedded in guidance for each of the divisions? And then can you quantify what you are expecting for growth in China as well?
William P. Donnelly - Mettler-Toledo International, Inc.: Sure. So let me start with the product areas. So I think something in the mid single-digits for the lab business makes sense, 5%, 6%. I kind of it use now the midpoint of our overall range. In terms of our industrial business, something in the 5% range as well, mid single-digits, but maybe the mix there would be our product inspection business growing faster than our core industrial business. And then a flat or maybe low single-digit growth in retail would kind of get you to the overall picture. And then if you look at it geographically, we're thinking Europe could be low to mid depending on best case/worst case. The Americas probably mid single-digits and then both Asia and China overall, we think mid single-digits probably anyway and could be into the high single-digits.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then can you comment on linearity in the quarter? I know you had the question before about kind of your global tour, but I'm actually just wondering how things progressed throughout the quarter and then any commentary on October trends in particular, if things were off trend relative to what you saw? Thank you.
William P. Donnelly - Mettler-Toledo International, Inc.: I mean, we finished with good order entry, which would be an early indicator for us in terms of September. I think the combination of October and November, which is the piece we have the most visibility on remains pretty solid. I think, as you know Tycho, many of us in the peer group have a certain amount of budget flush. I think we made a reasonable assumption in terms of it being a typical year with budget flush. But December is always the hardest one to predict. Things just come that you didn't have on your radar at all and you just hope you got at least as many as last year.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then just lastly on food retail. I know you talked about that being down in 4Q, but just a visibility on kind of orders there. Are there some bigger tenders coming through? Obviously you saw some pull forward in 3Q. Just wondering what the outlook for that business is.
William P. Donnelly - Mettler-Toledo International, Inc.: Hey, if you're okay, Tycho, I think we might have a little bit. It tends to be that after Thanksgiving, and people tend to avoid in the holiday season delivering on many big projects. But there is a lot of work done by our customers in terms of thinking about the next year. So maybe when we see it or when we talk again in February, we'd have a bigger or a better way to answer that. At this point, there are a number of big jobs and that are in play, but the way those work out, what percentage of the big job you get, we won't know for a little while, much less the timing on them.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Got it. Thank you.
Operator: Your next question comes from the line of Dan Arias with Citigroup.
Daniel Arias - Citigroup Global Markets, Inc. (Broker): Good afternoon, guys. Thanks. Bill, you touched on service. Do you think service growth outstrips product growth again next year? And if so, how wide do you sort of envision that spread being?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Actually, this is our strategy. We feel like we can grow service. We want to grow service more than the product growth. And yes, this is part of our plan for next year. If we grow as we guide you, this should actually be possible. We have very good programs in place. And we have seen, actually, different regions with very strong growth year-to-date in service. I would highlight, for example, Asia. So, yeah, I have that expectation for next year.
Daniel Arias - Citigroup Global Markets, Inc. (Broker): Okay. And then maybe just on the margin opportunity next year, if you look at indirect spend, which I think is something that you guys have been targeting, how much of what you see there in percentage terms is what you might call effectively managed or sort of where you want it, versus what's still open for improvement, and do you think that can be a meaningful source of savings next year as we look to 2017? Thanks.
William P. Donnelly - Mettler-Toledo International, Inc.: Sure. So, our indirect spend number is actually the base of it, it's a number in excess of our material spend or direct material spend. I think it's the amount we have under control is in the $500 million range. We have – sorry, the amount of it's in the $500 million range and I think we have more than 50% now being under what we would refer to as category management. So I think that number will climb a little bit, but I think the way we look at it is we're always trying to come up with new programs that can drive further savings in there. I think we, this year, will save a number in the high single-digit million range and I think we should be able to deliver a number in that range again next year.
Daniel Arias - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: And your next question comes from the line of Jonathan Groberg with UBS.
Jonathan Groberg - UBS Securities LLC: Congratulations for the quarter. Although, I have to say, Bill, it's a sad day to get the press release that we got today that you're leaving although. I've been talking with a few clients, we say only you guys could blow out a quarter and leave yourselves two years for the transition, so I appreciate that.
William P. Donnelly - Mettler-Toledo International, Inc.: Sure.
Jonathan Groberg - UBS Securities LLC: And I guess just a couple of follow-ups here. Around the quarter itself, it looks like maybe about $0.05 of the quarter you didn't pass on to the full-year. Is that just conservatism, is that some of the pull forward, maybe talk a little bit about that?
William P. Donnelly - Mettler-Toledo International, Inc.: Yeah, a little bit – yeah, the movement on the retail is probably the retail projects is probably the biggest piece.
Olivier A. Filliol - Mettler-Toledo International, Inc.: I think Mary maybe told me currency got worse by a $0.01 or $0.02 I think as well.
Jonathan Groberg - UBS Securities LLC: Okay. And then, Olivier, on the Field Turbo update, I think you said you were going to add 200 people in 2017. Any particular geography or customer segmentation standout in terms of where those are going?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Yeah. Hey. Lab gets quite some attention, and we will add a couple of people for example for our automated chemistry business that we presented to you also in July. We are adding a couple of people for our pH lab business that has a high profitability. And from a geographic standpoint, we have for example Southeast Asia, where we're adding again quite a significant number of people in the context of building up Philippines, Indonesia. But it's relatively broad-based. I had presented today to the board the annual plan where we're adding turbos and we had a geographic map on it. It was nice to see how well spread it is and that's actually the strength of the program that we are working on many projects in parallel and you have many managers that are also supervising and managing these.
Jonathan Groberg - UBS Securities LLC: Okay. Thanks a lot.
Olivier A. Filliol - Mettler-Toledo International, Inc.: Thank you.
Operator: And your next question comes from the line of Steve Beuchaw of Morgan Stanley.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Hi. Can you guys hear me this time?
William P. Donnelly - Mettler-Toledo International, Inc.: We can, Steve.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Okay. Well, thanks for giving me a second crack at it here. So I'm going to ask just one question, but it's a three part or so that's why I'm going to limit myself to just one. The basic topic is are there any items you might want to flag in terms of the progression over the next year or so from quarter-to-quarter? Specifically, I'm wondering and this is I guess a follow-up to Tim's question, is there any impact from timing items in the third quarter that might actually impact 2017 given you mentioned some of those were actually items that were further out? The second piece would be selling days. Any selling day abnormalities, either actually in the third quarter or looking forward? And then the third part of my three-parter is, anything next year aside from the tough comp that we should consider as you think about the progression of incremental margins?
William P. Donnelly - Mettler-Toledo International, Inc.: Okay. Good questions. I have answers to at least some of them. Let me start with those and I will have Mary flipping me some lines as well as Shawn. So progression for quarter-to-quarter, I think we kind of mentioned in the conference call script that I think Q3 is got to be a tough comp a year from now. I think you can kind of play it out that way. Not all of it will. If you look at incremental margins it won't be as big an issue there because of the high retail content. You can also assume that we get about a percent or so of sales growth from Troemner in the first two quarters and that stops in Q3 and Q4. In terms of working days, I think the – it's flat in Q3 of this year and Q4, it's minus 2 working days. And for 2017, I think there is a day difference, that we have a day more in Q1 of 2017 and we catch it back up in Q2. And then it looks like there is one less day in Q3. But I don't think those should be so material. In terms of other things to think about, I can't think. Another one might be timing of some of our Blue Ocean Go-lives. I – those don't jump out to me right now in terms of being particularly large units, so I think that that shouldn't be so much of an issue. Yeah, I think all of us are kind of nodding that those would be the key items. I think the one other item would be in response to like a follow-up to make sure it resonated with people. Ross asked earlier about this new accounting regulations surrounding accounting for the income tax benefits of stock options in excess of actual value and I think that we are working on trying to estimate that impact now for the full-year. But I do think the way the accounting rules are written, it will lead to quite a bit of volatility by quarter, and that's something that I think we're going to almost have to guide you quarter by quarter at this stage. And so, I would maybe suggest people just leave it typical Mettler flat 24% for now, and that's what we've given you in terms of guidance. But it will probably be an improved number when we talk to you in February, but we're still estimating what that will be. Did I get all the parts to your questions, Steve?
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Sorry. Any impact of timing items in the third quarter on revenues in the first half? It sounded like some of the timing items in the third quarter impacted the events that you actually thought would go further out?
William P. Donnelly - Mettler-Toledo International, Inc.: I think it's mostly a retail topic and it's mostly – will work itself out Q3 to Q4. So, at this stage I don't see anything – but we'll let you know. I don't see anything happening in the fourth quarter that would push things out to Q1 in particular.
Steve C. Beuchaw - Morgan Stanley & Co. LLC: Thanks so much.
William P. Donnelly - Mettler-Toledo International, Inc.: Thank you.
Operator: And your next question comes from the line of Brandon Couillard with Jefferies.
Brandon Couillard - Jefferies LLC: Thanks. Good afternoon.
William P. Donnelly - Mettler-Toledo International, Inc.: Hi, Brandon.
Brandon Couillard - Jefferies LLC: Bill, you may have just answered my question in the context of the number of days in the fourth-quarter. But even if we strip out the pull-forward of the food retail surge in the third quarter, on the two, three, four year stacked comp basis, you still accelerated on each of those metrics pretty materially in the third quarter, which your guidance seems to suggest a step backward in the fourth, is that simply the days' effect?
William P. Donnelly - Mettler-Toledo International, Inc.: Yeah. It's – hey, I think the – if you look kind of the impact of the retail moving between the two quarters is 2%. So if you start by reconciling we grew 9%, 8% organically. You kind of get 2 points off to compare the two quarters and then there is 1 point or 1.5 point left. And some of that could be working days. Some of it's the – just the forecast of how we see things. Some of it might be we're just underestimating a budget flush. I think it – I would acknowledge that it's the quarter for us that we find most difficult to forecast, Brendon. But we had done the same stack analysis you did along with a series of other internal forecasting measures to kind of come up with this number and we think it's realistic, but I guess we'll see when the numbers come through.
Brandon Couillard - Jefferies LLC: Okay. And then two more. Do you actually give the China growth rate in the third quarter? And then secondly, you've pointed to I think a 1% headwind on EPS next year from currency. Does that include the heads roll-off affect?
William P. Donnelly - Mettler-Toledo International, Inc.: Yes. That includes the heads roll-off affect and our growth in China in the quarter was 8% and it's 8% for the full – year-to-date.
Brandon Couillard - Jefferies LLC: Super. Thanks.
Operator: And our next question comes from the line of Steve Willoughby with Cleveland Research.
Steve Barr Willoughby - Cleveland Research Co. LLC: Good afternoon, guys. Two quick things for you. Wondering if you could comment at all about what you're seeing in the U.K. over the last few months post-Brexit? And then secondly just on Field Turbo, now that you're in the third wave of adding people if you could provide any color on how quickly these head count additions are ramping up and how quickly they basically start paying for themselves?
Olivier A. Filliol - Mettler-Toledo International, Inc.: Good to hear on the first one. So just to put in perspective, the U.K. is about 3% of our revenue. And, yes, our business has slowed down and it certainly also associated with the Brexit discussions that we have. Of course, our customer base is faced with uncertainty and we see it in our business. What we also did, we had significant price increases that we implemented in the U.K. to offset, of course, the weakening of the pound. Now, just talking about the pound I wanted you to be aware that we have a net short position towards the pound because we have two major manufacturing plants of our product inspection. So, that's at least on the positive side for us. And we will see how it further develops. Typically, when these things happen in a country you have in the short-term an effect and then things rebalance. The second question about the Field Turbo, so we have different ways. There are so many different projects as I described before, so not all of them have the same payback time, I would for example, Asia-Pac, the investments that we do in Southeast Asia that will have a faster paybacks than for to the investments that I referred to in automated chemistry. But all in all, we say, we want to have them reach a breakeven after a year and kind of after two years they should cover their initial investments, and that's also the beauty when we do these in ways. But on a regular basis, the older ways also helped fund the new ways. Okay?
Operator: And we have no other questions in queue at this time. And I would like to turn the call back over to our presenters.
Mary T. Finnegan - Mettler-Toledo International, Inc.: Thanks, Jennifer. And, hey, thanks everyone for joining the call tonight. Of course, if you have any questions, as always, don't hesitate to send us an email or give us a call. Take care. Thanks. Bye-bye.
Operator: Thank you for your participation and this does conclude today's conference call. And you may now disconnect.